Operator: Excuse me, everyone. We now have Sean Reilly and Jay Johnson in conference.
 [Operator Instructions]
 In the course of this discussion, Lamar may make forward-looking statements regarding the company, including statements about its future financial performance, strategic goals, plans and objectives, including with respect to the amount and timing of any distribution to stockholders and the impacts and effects of the novel coronavirus COVID-19 on the company's business, financial conditions and results of operations.
 All forward-looking statements involve risks and uncertainties and contingencies, many of which are beyond Lamar's control and which may cause actual results to differ materially from anticipated results. Lamar may -- Lamar has identified important factors that could cause actual results to differ materially from those discussed in this call, in the company's fourth quarter 2020 earnings release and its most recent annual report on Form 10-K as updated or supplemented by its quarterly reports on Form 10-Q and current reports on Form 8-K. Lamar refers you to those documents.
 Lamar's fourth quarter 2020 earnings release, which contains information required by Regulation G regarding certain non-GAAP financial measures, was furnished to the SEC on a Form 8-K this morning and is available on the Investors section of Lamar's website, www.lamar.com. I would now like to turn the conference over to Sean Reilly. Mr. Reilly, you may begin. 
Sean Reilly: Thank you, Katie. Good morning, all, and welcome to Lamar's Q4 2020 Earnings Call. It's far to look back on 2020 with anything but relief that it is over. However, for Lamar, there were some bright spots. The sales rebound that began in Q3 accelerated in Q4. In fact, our fourth quarter revenue came in better than we had anticipated with strength, in particular, from political, national and programmatic.
 Meanwhile, our cost-cutting initiatives continue to pay dividends. As a result, we easily exceeded the top end of the guidance range for AFFO per share that we provided in November. We knew when we reported in early November that 2020 would be a record year for political, but thanks to the double runoff in Georgia, political proved even stronger in Q4 than we had expected.
 For the quarter, political spending was $11 million. And for the year, it was north of $19.5 million. Compare that to full year 2018 of about $11 million and 2019 of approximately $5.3 million. So political came in exceedingly strong. Other categories of relative strength in Q4 were gaming, automotive. That automotive category was really nice to see, insurance and health care. Of course, we're not gathering yet. So amusement and entertainment remained relatively weak given that many venues are still closed.
 Retail was also relatively soft in Q4. As I mentioned, national and programmatic, which we track together, were much improved and came in basically flat year-over-year. Our digital platform also bounced back impressively, and in absolute dollars was up in Q4 versus Q4 of 2019 and essentially flat on a same-store basis.
 With that rebound in mind, we are pushing hard to deploy new digitals with a goal of adding 300 units in 2021. We began ramping our approval of new digital units in Q4, and I continue to feel good that we'll hit our goals in terms of digital deployment to 2021. Turning to 2021. The first quarter is proving to be a little choppy as the post-holiday surge in coronavirus slowed advertiser commitments for the first part of Q1. As the vaccine rollout accelerates, we expect travel to pick up, entertainment venues to begin to reopen and life to begin to return to a more normal pattern.
 That pick up in overall activity should translate to our book of business, which we expect to build nicely through the year. The cadence of the year will be unusual to say the least. Recall that we had a very strong start to 2020, which carried through March. And as a result, first quarter comps are tough. And as I mentioned, the country has not fully recovered yet either from a health perspective or an economic perspective.
 So on a year-over-year basis, expect revenue to be down in Q1 2021, perhaps even a tad more than Q4 2020. But the Q2 and Q3 comps are, of course, very different, and our internal budget implies that by the end of 2021, revenues will be up a little north of 5%. Given where we finished 2020, that would bring us about halfway back to the 2019 revenue levels. As we flagged in the fall, expense growth will be elevated relative to our normal 2% to 3%, as savings we realized on revenue share agreements, commission payments, executive comp, cash comp, those things are going to be returning.
 As we mentioned on our Q3 call, we cut, give or take, $75 million out of the expense base from 2019 and 2020, and we anticipate that about half of that in those categories will come back this year. You couple that with, again, the normal 2%, expense growth and expense growth for 2021 should be around 5%, hopefully, we can do a little better than that.
 So you take those sales and expense expectations and then factor in a return to what I would call normalized levels of maintenance CapEx, and we are forecasting AFFO per share to come in between $5.20 and $5.50. The midpoint of that range, as I mentioned, implies top line growth of approximately 5%, the top end, roughly 6% and the bottom end, roughly 4%.
 Finally, you may have seen our release yesterday about our anticipated distribution of $3 per share for the full year 2021. I will let Jay walk you through more details on Q4 and our expectations for 2021. Jay? 
Jay Johnson: Thanks, Sean. Good morning, everyone, and thank you for taking the time to join us. As you may recall, in August, we reinstated guidance and further revised estimates upward on our third quarter earnings call, with operations exceeding our internal expectations in Q3. That momentum continued into the fourth quarter, resulting in Q4 and the full year ahead of our revised expectations across revenue, EBITDA and AFFO.
 We saw a return to AFFO growth in the quarter, improving 4.3% to $1.71 per share on a fully diluted basis versus Q4 2019. In the fourth quarter, acquisition-adjusted revenue declined 6.8% from the same period last year as our business continued to improve from its trough in the second quarter. Our cost reduction initiatives once again proved effective with consolidated operating expenses declining 10.6% in Q4.
 Adjusted EBITDA for the quarter was $207.9 million compared to $215.6 million in 2019, which is a decrease of 3.6%. On an acquisition-adjusted basis, the decline was 80 basis points lower, contracting only 2.8%. For the full year, acquisition-adjusted revenue declined 10.9% to $1.57 billion compared to $1.76 billion in 2019. Adjusted EBITDA was $671.5 million which represented a decrease of 14.4%.
 The company ended the year above the high end of revised AFFO guidance with full year AFFO of $5.10 per share. Lamar's business has performed throughout various market cycles, generating consistent cash flow, and this was evident in our results during the second half of the year. In Q3, adjusted EBITDA margin was strong at 44.2%, and we saw that improve by over 400 basis points in the fourth quarter with adjusted EBITDA margin of 48.5%.
 In addition, free cash flow in the quarter increased 18.3% over last year. Strong cash flow and industry-leading EBITDA margin reflect our operating model focused on local markets, with a portfolio dominated by our billboard division's. Our national business, including programmatic, rebounded significantly in the quarter and was essentially flat to Q4 of last year. As a result, national increased from 20% of our billboard revenue in Q3 to 25% in the fourth quarter. Demonstrating our disciplined approach to CapEx and operational flexibility, we reduced CapEx by over 50% to $62 million in 2020. However, we did move forward with some digital conversions in Q4 that were put on hold in April. Maintenance CapEx for the full year was $24 million, with growth CapEx totaling $38 million.
 As we return to a more regular year for Lamar on a number of fronts, we anticipate total CapEx for 2021 of approximately $150 million, including $55 million of maintenance CapEx. Late in Q1 of 2020, we curtailed acquisitions and limited activity through the balance of the year. However, given our strong financial position, we increased our appetite for acquisitions beginning in the fourth quarter.
 Acquisitions in the quarter totaled $16.8 million, the highest level of any quarter last year. Total acquisitions for the full year 2020 were $45.6 million. Looking at 2021, we're planning for an uptick in acquisition activity. But as discussed on last quarter's call, we believe there remains a valuation gap between buyers and sellers, though our increased activity in Q4 is promising. Turning to our balance sheet, which has been a critical focus of the last 12 months for the company. We continue to benefit from the steps taken to transform our balance sheet in 2020 and fortify the company's capital structure for the next several years.
 Lamar enjoys excellent access to the capital markets as evidenced by our ability to access the bond market throughout the COVID-19 pandemic. Last month, we issued $550 million of 3 5/8% 10-year senior notes due 2031. The coupon was the lowest in the history of the company and one of the lowest in the high-yield market, a testament to our business and demonstrating the faith of the capital markets in Lamar.
 Proceeds from the offering, along with cash on hand and draws under our AR securitization and revolver, were used to redeem all $650 million of our 5 3/4% senior notes due 2026. Over the course of the past year, we have raised $3.45 billion of debt, primarily refinancings with the following key objectives: lowering our overall cost of debt, including amortization and interest; extending our maturity profile; enhancing liquidity; reducing exposure to floating interest rates; and gaining flexibility under our covenant structure, commensurate with a public company of our credit quality.
 These efforts will result in over $25 million of lower interest this year versus 2020. And when compared to 2019, the company will save over $70 million of interest and amortization in 2021. And as a reminder, we will -- we no longer have debt with scheduled amortization as a part of our capital structure. At the end of the quarter, we had approximately $902 million of liquidity comprised of $121.6 million of cash on hand, $52.5 million available on the AR securitization and $736 million of availability under our revolving credit facility.
 Subsequent to quarter end, we drew $25 million on the revolver and $22.5 million on the securitization line for a redemption of our 5 3/4% senior notes and currently have $711 million available on the revolver. We have 2 significant financial covenants, a 4.5x secured debt maintenance test and a 7x total debt incurrence test.
 We remain comfortable in compliance with both financial covenants. The company ended the quarter with total leverage of 3.96x net debt-to-EBITDA as defined under our credit facility and within our target range of 3.5 to 4x. Our secured debt ratio declined to 0.7x versus 0.9x at the end of Q3. We expect leverage to increase modestly at the end of Q1, with a full year post COVID results included in our LTM EBITDA.
 However, leverage should remain comfortably below 4.5x and trend downward for the balance of the year. Based on the current debt outstanding, our weighted average interest rate is 3.3%, with a weighted average maturity of 7.5 years. Our debt maturity schedule is well-laddered and positioned to withstand the current economic environment. We intend to extend the AR securitization, which matures in December later this year. After the AR securitization, our near-term maturity is the revolving credit facility in February of 2025. And finally, our dividend policy.
 In the fourth quarter, we paid a cash dividend of $0.50 per share, resulting in a full year 2020 dividend of $2.50 per share. Yesterday, and as disclosed in this morning's release, the Board approved a dividend of $0.75 per share for the first quarter. All dividends are approved and declared by the company's Board of Directors on a quarterly basis. And as Sean mentioned, subject to Board approval, we expect our 2021 distribution to shareholders to total $3 per share, which represents a 20% increase over the company's distribution in 2020.
 Our balance sheet remains strong, and we maintain excellent access to both the debt and equity capital markets. A strong balance sheet is core to our operating strategy and serve as a significant competitive advantage. With our intense focus on the company's capital structure, and resulting balance sheet with increased flexibility despite the COVID-19 pandemic, Lamar is well positioned to take advantage of opportunities as they arise. I will now turn the call back over to Sean. 
Sean Reilly: Thanks, Jay. A couple of familiar metrics. Number one, our digital count, we ended the year with 3,650 digital units in the air. That represented an increase of 24 units in Q4. Again, our goal for 2021 is something north of 300 units, and we feel that there is not only sufficient demand out there for that kind of extra capacity, but we feel like we can hit that goal and get that number in the air. A little more color on the rebound of national through the course of 2020.
 We recall that in Q2 of 2020, local and regional were 81% of our book, national and programmatic were 19%. And in that same quarter, local was down 18%, national was down almost 34%. Fast forward to Q4 and national rebounded such that national and programmatic were about 25% of our book, local was about 75% of our book.
 And if you look at it, billboards space only in terms of absolute down, local and regional were down 5.4% in Q4 2020. And national and programmatic were down 0.2% or essentially flat, as we mentioned. If you exclude programmatic, national was down 4.8% in Q4. It was very gratifying to see what was a good normalization in our local/national mix and the recovery in national. I mentioned the categories that were strong. I want to highlight two. Automotive was positive for the quarter, up almost 3%. Again, very gratifying to see. Gaming bounced back in Q4, was 4.5% of our book of business and up almost 1%.
 Again, it's just nice to see categories rebounding in positive territory. With that, Katie, I will open it up for questions. 
Operator: [Operator Instructions] 
 Our first question will come from Alexia Quadrani with JPMorgan. 
Anna Lizzul: This is Anna on for Alexia. And I was wondering if you can provide us with some more color regarding the pace of recovery and what has the gap to come back to normal? I know you mentioned the great momentum you were seeing in Q4 in national. And also, just any more color you can provide on the geographic readout? 
Sean Reilly: Thanks, Anna. I'll hit the geography first, and I'll throw some Q4 and 2020 numbers at you. So the strongest region in Q4 is what we call our Atlantic region, down 0.9% in Q4 and EBITDA up 4%. That was followed by our central region, which is aptly described as the middle part of the country and down 2.3% in revenue and essentially flat on EBITDA. We have some geography that is still struggling. And for us to really hit our stride in the back half of the year. It would be nice to see a little more relative strength and recovery from COVID in places like Southern California, Las Vegas and New York. In fact, our western region, which includes that Southern California markets like L.A. and San Diego and Riverside, San Bernardino and Las Vegas. Was the toughest place in Lamar land.
 It was down 9.4% in Q4, and EBITDA was down 12.6%. So as we look at the cadence and pace of recovery. We need that geography to heal up. And then we also need a return to gathering. We need amusement, entertainment and sports and all of the activity that surrounds venues, like sporting venues and concerts and the like, conventions. As that returns, I think you'll see a complete recovery for Lamar. 
Operator: Our next question comes from Ben Swinburne with Morgan Stanley. 
Benjamin Swinburne: Sean, just a couple of questions. First on the revenue outlook. I'm sure -- or you may or may not have heard from OutFront and Clear Channel yesterday. Your visibility sounds like it's not where it used to be pre-COVID, which is not a surprise. I'm just wondering from where you sit in your markets, when you look at your full year revenue expectation what's your degree of visibility or confidence in that relative to the pre-COVID days and just try to give us a sense for what the kind of risk profile of that acceleration in the quarters after Q1? And maybe I'll start with that, and then I'll ask my follow-up. 
Sean Reilly: Sure. The risk profile to our visibility is as you would expect, how strong is the recovery? Are we going to be gathering in a more normalized way as the summer moves into the fall, are we going to have full football stadiums in college towns. I would say that's the risk to the visibility. Our comps are so easy when you get to Q2 and Q3. That I feel really good about our ability to accelerate, if nothing else, just because the comps are so easy.
 The -- it was kind of implied in the answer to the previous question about the risk to the recovery of certain geographies in the country. Las Vegas is an important place for us. The good news is gaming was actually up in Q4. So even though venues are only partially opening across the country and in regional gaming and indeed in Vegas. The casino operators are advertising with us, they're using us. They're using us in anticipation of a full opening. So that feels good.
 National, we're getting good vibes on the national front. They -- their budget, our national group's budget for the year is up -- is to be up double digit. So assuming -- again, assuming that the opening goes as advertised, we feel like we can hit the number in front of us. It's axiomatic that the harder you fall, actually, the more you have recovery room, right? And so in those places, like the Atlantic region and the Central region, they really didn't I didn't really fall off that hard. And so their recovery is not projected to be as astronomical as some other places. And then you have some of our divisions, which look a little more like, airport and transit look a little more challenged as the recovery takes hold. Fortunately, they're small parts of what we do.
 But it's -- our airport division, which, in normalized time, should do a little north of $40 million on the top, it's going to struggle throughout the year until travel returns. That could be a 2 or 3-year odyssey in terms of recovery there. Our transit division looks it's middle market. So it's going to do pretty well in terms of recovery, but not as well as the billboards division. And we are going to struggle in Vancouver.
 Vancouver is a big city transit operation that we run. And the indications there are that, that's going to take a while as well. Again, fortunately, that's not a whole lot of what we do. 
Benjamin Swinburne: Yes. Maybe just to follow-up. When you look at Q1 and Q2, are people booking later? In other words, do you have less of the next couple of months sold than you normally do? 
Sean Reilly: So with the little spike, the post-holiday spike in the first part of the quarter, we definitely saw some hesitancy. And January and February have been a little bit difficult for us. We feel like the gun goes off in March. What we're hearing in terms of chatter is advertisers who were kind of feeling their way through January and February are beginning to commit for March and beyond. So in my view, like I said, the gun goes off Monday -- March. 
Benjamin Swinburne: Got it. Okay. And then just lastly on the revenue outlook. What's baked into that kind of 4% to 6% in terms of acquisitions. Jay mentioned you guys have bought some stuff in the fourth quarter. I think you'll benefit through the year. Are there additional acquisitions that you haven't announced or closed that are in that guide? Or would that be additional revenue and AFFO, if you can get more done? 
Sean Reilly: Yes. So that guide is pro forma. So there's no acquisitions baked into it. If we are able to have a good year on the acquisition front, that's linear. 
Operator: [Operator Instructions]
 Our next question comes from Stephan Bisson with Wolfe Research. 
Stephan Bisson: Just as a follow-on to Ben's last question. On the M&A market, how much are you anticipating doing? We heard that the markets are pretty locked up, both in terms of multiples being will to pay -- being willing to pay the multiple and what base year to use your EBITDA. Any comments on what you're seeing in the marketplace right now? 
Sean Reilly: Good question. And for those of you who aren't [ caged ] means something extra. So it really depends on the asset, Stephan, the -- in middle market billboard assets, as you have seen in our results, the falloff from 2019 to 2020 was not that great. So there's not a lot of pulling and tugging around which year you use as the normalized year, off of which to base your valuation work. So that's a good thing for us. We can -- we -- to the extent that's the type of asset we're buying, that probably won't be as big a bid-ask spread between buyers and sellers. Now that changes as you move to the coast and you get into bigger markets. As mentioned, the fall off was greater in markets that are top 20 DMAs and places where COVID was a little more of a dramatic impact on local economies. So I would anticipate that the bid-ask spread will be a little more dramatic when you're talking about inventory in places like Southern California, Seattle, New York, et cetera. 
Stephan Bisson: Great. So should we be looking at a more typical year that you guys saw in terms of acquisition activity prior to COVID because you were a great serial acquirer, a couple of hundred million dollars a year. Is that kind of the ballpark we should be thinking about? 
Sean Reilly: That's our expectation and our goal. We're looking for a more normalized year. And if you run the free cash flow through all of the demands on the company's capital that Jay laid out and circle around our EBITDA expectations. You'll see that we have about $140 million to $150 million left over in 2021 after all the demand on the company's capital. It's that $140 million to $150 million that we hope to use to do those accretive tuck-in acquisitions that we normally do in a normalized year. 
Stephan Bisson: Great. And then just 1 on programmatic. Early on, you guys were dipping your toes and being very defensive over the assets. How has the strategy changed? Because it seems to become a much bigger part of the business and any learnings you've had there? 
Sean Reilly: So a great question. So 4 or 5 years ago when we were dabbling in programmatic, I had 2 business rules that needed the team to follow because we did not want to repeat what happened to digital publishers when they lost control of their CPMs and found themselves in an auction setting. So the rule -- business rule number one, do not find yourself in an auction where you don't control the CPMs that we're loading into the algorithm.
 And business rule number 2 was make sure that it's net new business, not just recycling folks that would otherwise be buying from us. And as we were feeling through those 2 business rules, we wanted to be careful, right? We had to set up guardrails around our customer base that wanted a programmatic tool, but it would not be net new business. And then we also had to set up guardrails to protect our CPMs. We have successfully done that. And now we are opening up our platform to a wide array of digital buyers, SSPs and DSPs. And it's going to pay off this year. We're anticipating doing something in the neighborhood of 65 ISH percent more in programmatic in 2021 than we did in 2020. 
Stephan Bisson: Great. And one bookkeeping question. Same board digital for the quarter? 
Sean Reilly: Same board digital was essentially flat. And -- yes. 
Operator: I'm showing no further questions. I would now like to turn the call back over to Sean Reilly for closing remarks. 
Sean Reilly: Well, again, thanks, everybody, for listening and being a part of the call. Everybody, please be safe, and we'll talk to you again next quarter. 
Operator: Thank you, ladies and gentlemen, this concludes today's teleconference. You may now disconnect.